Operator: Greetings, and welcome to the Sonida Senior Living First Quarter 2024 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. 
 It is now my pleasure to introduce your host, Jason Finkelstein of Investor Relations for Sonida. Please proceed. 
Jason Finkelstein: Thank you, Kamila. All statements made today, May 10, 2024, which are not historical facts may be deemed to be forward-looking statements within the meaning of federal securities laws. The company expressly disclaims any obligation to update these statements in the future. Actual results and performance may differ materially from forward-looking statements. Certain factors that could cause actual results to differ are detailed in the earnings release the company issued earlier today as well in the reports that the company files with the SEC from time to time, including the risk factors contained in the annual report on Form 10-K and quarterly reports on Form 10-Q. 
 Please see today's press release for the full safe harbor statement, which may be found in the 8-K filing from this morning and that the company's Investor Relations page down at www.sonidaseniorliving.com. 
 Also, please note that during this call, the company will present non-GAAP financial measures. Reconciliations of each non-GAAP measure from the most comparable GAAP measure, please also see today's press release. 
 At this time, I would like to turn the call over to Sonida Senior Living President and CEO, Brandon Ribar. 
Brandon Ribar: Thanks, Jason. Hello, and welcome to our 2024 first quarter earnings call. I'm joined today by Kevin Detz, our Chief Financial Officer. Earlier today, we posted our Q1 earnings and investor presentation, which will be referenced throughout this call as we discuss our strategic priorities and operating results in addition to updating you on our growth efforts in 2024. You can find our latest presentation at sonidaseniorliving.com in the Investor Relations section if you would like to follow along. 
 In addition, we have included supplemental earnings information within our investor presentation, consistent with the prior quarter release. We ended Q1 with significant momentum towards both our organic and external growth goals and remain optimistic around our 2024 operating targets. We have swiftly moved into growth mode in Q2 with the expected completion of 4 transactions before the end of June. 
 Looking ahead, we have clear line of sight into further growth opportunities with similar return characteristics in the near-term pipeline. We anticipate that we will continue to use our recently established ATM program to match fund bolt-on acquisitions while exploring a traditional equity raise later this year, subject to the capital needs of our pipeline. 
 Over the last 3 months, Sonida has raised nearly $60 million in equity capital with approximately $35 million earmarked for transactions expected to close in the next 90 days. These transactions include both existing and new institutional capital partners excited to access this highly attractive senior living investment landscape through Sonida. 
 To touch on our performance for the quarter, Q1 was characterized by the continued improvement of the core portfolio. Occupancy remained in line with prior quarter coming in just shy of 86%, while we successfully completed another material increase in our overall rate profile as of March 1. March rate increases effectively at 7% on a run rate basis to our total private pay revenue. While the rate increase has led to higher than average move-out volume for financial reasons, the increase was in line with our expectations for the 2024 plan and support significant revenue increases throughout the year. 
 Overall, the 2.4% increase in revenue sequentially and 7.3% year-over-year reflect ongoing strength in our operations and sales leadership. Additionally, continued operating and margin expansion, as highlighted on Slide 12, further supports our expectations to achieve significant year-over-year improvement again in 2024. 
 On a total dollar basis, adjusted EBITDA increased more than 21% year-over-year and 2% sequentially for the quarter. On our previous call, we referenced our 2024 strategic growth plan, focusing on the strength of our local and regional leadership teams further investments in capital and programming to support our community performance and the recovery of a concentrated set of underperforming buildings. 
 Capital investments in our communities remain on track with project delivery time line set for the second half of the year. On the resident programming front, the development of our trademark Magnolia Trails memory care offering continues to produce exceptional outcomes for our residents and has delivered a year-over-year increase of 750 basis points in occupancy from just north of 80% in Q1 2023 and nearly 88% occupancy across our memory care units in Q1 2024. 
 Further implementation of fall prevention technology completed in the last 6 months as enhanced resident safety and family member confidence in Sonida to provide a safe and caring environment for their loved ones. 
 I'll shift gears and speak for a minute on our underperforming communities and the progress we are making to accelerate recovery plans. In March and April, we experienced positive momentum in the occupancy and margin associated with our key recovery communities. We delivered sequential quarterly occupancy improvement of 240 basis points and 130 basis points of margin expansion over Q4 2023. 
 Detailed on-site process reviews, focused digital marketing efforts and targeted capital investments were key drivers of this improvement. In summarizing the core portfolio performance, I remain confident in the capabilities and stability of our local and regional leadership to drive further occupancy rate and margin improvement throughout the year. 
 Our resident rates have increased 8 quarters in a row and with the combination of the increases achieved with our March 1 annual adjustment, positive re-leasing rates and further improvement in capturing our level of care adjustments, I expect the trend to continue. We've also implemented a new level of care initiative within several of our Magnolia Trails memory care locations, focus on expense management, specifically effective labor cost control, has continued to push down our labor cost as a percent of total revenue and support our year-over-year and sequential margin improvement on a normalized basis. 
 In the current environment, we see opportunistic investments as most compelling and are focusing largely on acquiring underperforming but quality assets at significant discounts to replacement costs. Sonida identify situations where our systems and processes can structurally improve margin as well as quality of care and resident experience. When combined with an attractive cost basis and capital structure considerations each of the investments set for close in Q2 reflects an attractive asset level return profile commensurate with the risk profile of acquiring underperforming assets. 
 Moreover, we are laser-focused on generating per share net asset value and free cash flow accretion with every investment we make. We believe that the financial success of a community is first and foremost, dependent on having a strong local leadership team and key to our success is the hiring and retention of great talent that together with Sonida's tools and programs are able to stabilize challenged assets. 
 One core principle is focusing on regional densification where we were able to benefit from our scale, implement our full suite of labor management tools and thus grow our portfolio without costly recruiting and without meaningful changes to G&A. Ten of the 12 communities set to join Sonida are in states or nearby markets we currently operate with the exception of Austin, Texas and Atlanta, Georgia, 2 markets with attractive growth and demographic profiles that fit the Sonida footprint. 
 Specific to onboarding new communities, we have introduced an operational excellence team focusing on portfolio-wide initiatives and best practices and integrating them into newly transitioning communities. The team is comprised of operational, clinical and sales resources with a track record of successfully driving recovery in underperforming communities. On the financing front, we look forward to expanding our banking relationships with 4 new lenders providing debt capital for the acquisitions referenced in our presentation. 
 For the second half of the year, we will continue to target similar opportunities to purchase assets outright, but through joint venture relationships with leading investors in real estate. The increasing default rate and level of nonperforming loans across the market in addition to the absence of interest rate relief to date in 2024, continues to generate a robust pipeline of growth opportunities. 
 To that end, we made the decision to further invest in our executive leadership with the hiring of our new Chief Investment Officer, Max Levy, announced earlier this morning. With his strong real estate investment track record and is a valued member of our Board of Directors and a contributor to the Sonida growth strategy over the last 2 years. Max adds substantial firepower to our capital markets and acquisition capabilities. We are appreciative of conversing capital's flexibility and continued support in agreeing to this critical hire. 
 This morning, we also announced a meaningful addition to our Board of Directors. Lilly Donohue, a seasoned executive leader in senior living and real estate-based businesses has agreed to join the Sonida Board of Directors effective today. Lilly's wealth of experience and proven track record for scaling large real estate platforms will contribute significant value to the management team and the Board. 
 Our culture at Sonida is built on a team comprised of individuals with the highest levels of integrity and passion for building a great offering for seniors, and I'm excited to add 2 top-notch leaders to our collective team. 
 The Sonida platform with its differentiated approach to operating, owning and investing in senior living communities positions the company to meaningfully capitalize on near-term market dislocation by layering on value-creating external investments designed to further enhance shareholder return, reinforced by the trends of a growing senior population against the backdrop of a significant slowdown in construction activity of new properties. 
 Sonida's disciplined deployment of balance sheet capital coupled with flexible and creative deal structuring allows us to strategically acquire assets that can favorably impact our portfolio through an expansion of operations and highly attractive returns upon stabilization. 
 I'll now turn it over to Kevin for a discussion of the financial results. 
Kevin Detz: Thanks, Brandon. Picking up with the financial comparisons on Slide 12 of the investor presentation, the company continues to steadily push occupancy up despite an increase in move-out rates this quarter driven by a handful of communities where targeted action plans have already been put in place. 
 On a year-over-year basis, the company grew occupancy 200 basis points to 85.9%. The company is still driving significant improvement in rate capture with a year-over-year increase in RevPOR of 8.4% and resident revenue of 7.2%. As a result of the foundational work around the company's operating expense profile over the past 18 months, the company was able to realize an additional $3.5 million of adjusted NOI and 360 basis points in incremental adjusted NOI margin year-over-year. 
 These measures both exclude the impact from nonrecurring state revenue grants. Comparing the first quarter of 2024 to the fourth quarter of 2023 we can see the return of historical seasonality and in what has otherwise been a stabilizing margin trajectory since the post-COVID recovery began. We've seen similar trending across our peer group based on earnings releases this quarter. 
 The first quarter of each calendar year bears a heavier cost load with respect to both employee benefit participation levels and a reset of employer taxes with phase-out limitations reached later in the year. Beyond the restored seasonal marginal effect, nonrecurring operating expense credits realized in the fourth quarter of 2023 are significant drivers in comparing sequential quarterly margins, as previously discussed, our March year-end 2023 earnings release. 
 More specifically, the company benefited from real estate tax credits recognized in November and December as lower adjusted tax bills were received and refunds were processed by local jurisdictions as a result of our protest efforts. Additionally, the company was able to reduce its liability related to workers' compensation claims in connection with the semiannual actuarial review that took place in December. 
 To capture the true run rate impact on a sequential quarter basis, we have presented a pro forma that normalizes Q4's onetime credits. Further, to highlight the revenue and margin impact of migrating to a March 1 calendar year renewal their pro forma analysis also contemplates a full quarter with the new effective in-place rates from March of this past quarter. With those pro forma adjustments made for comparable purposes, the company was able to increase its effective operating margin by 210 basis points. More detailed follow on operating expense trends later in the investor presentation. 
 Moving ahead to Slide 13. Resident rates increased 10.1% and 2.7% from Q1 2023 and Q4 2023, respectively, with the latter supporting an overall continued rate push across the portfolio. Looking at the March 1 increases this year, the company realized an annual average rate increase of 6.3% on an all-in basis. Excluding Medicaid supported revenue and ancillary fee revenue, this rate increase jumps to 7.3% over the same period. 
 At this point, the company has successfully addressed all of its resident leases with level of care assessment and related revenue capture at appropriate levels. With new operating protocols across recurring care level assessments now firmly in place and with the enhanced programming and oversight provided by our Chief Clinical Officer hired in October we believe Sonida is well positioned to match revenues with the underlying cost of care. 
 Moving to operating expense trends on Slide 15. The cost of incremental labor to incremental revenue continues to stabilize. Total labor increased $2.2 million from the first quarter of 2023 to the first quarter of 2024, but as a percentage of revenue, decreased 100 basis points. Over the last 2 sequential quarters, the decrease in total labor as a percentage of revenue was 40 basis points. This positive margin trend should continue as a result of the company's successful March 1 rate increases. 
 On Slide 16, nonlabor operating expenses are holding steady across the last 15 months. Operating expenses have historically trended the highest in the first quarter of each year. On an absolute basis, Q1 2024 nonlabor operating expenses are essentially flat to Q1 2023 despite elevated snow removal and utility costs as a result of a particularly severe winter experienced in our Midwest and Greater Atlantic divisions this year. 
 As a percentage of revenue, the margin pickup on the same comparative period is 280 points. After a full year of optimization across our GPO platform, food costs have reached a stabilization point that should continue to expand margin as the company grows its revenues particularly against its current occupancy levels. Similarly, real estate tax trending has reached run rate levels, generally now just increasing by normal course increases of assessed values. 
 Utility costs should see similar opportunities to stabilize late in 2024 when our current rate contracts are up for renewal and will be negotiated to market by our third-party utility consultants. Fitting on a few observations from our earnings release this morning, G&A remains below 10% as a percentage of total revenues. Excluding the noncash amortization of stock compensation, and onetime transaction costs in connection with our recent debt and equity transactions. 
 Just as important, the company should be able to further lower this all-in G&A ratio against the revenue from its signed and prospective pipeline of inbound communities. This is particularly noteworthy despite the company's onetime strategic investments and the growth infrastructure Brandon referenced, namely the bolstering of our business development function to capitalize on buying opportunities and the newly created operational excellence department that will support community onboarding and drive key portfolio-wide operating initiatives. 
 Concluding the remarks on Q1 financial highlights, we will turn our attention to the balance sheet as seen on Slide 10 and Appendix 5. As previously announced, during the first quarter, the company closed on the acquisition of the Protective Life loan purchase and the 47.75 million common equity private placement. The loan purchase price represented a 48% discount of the outstanding indebtedness. The company concurrently finance $24.8 million of the loan purchase price as part of its existing term loan with Ally Bank. This transaction rounds out the successful navigation of all but 2 of the company's community loans, which we are actively discussing with respective lending groups. 
 Our debt is comprised of 72% fixed rate notes with the remaining variable rate notes fully hedged, yielding a weighted average interest rate just below 5% of the portfolio. Beyond this, the company continues to focus on delevering its balance sheet with the final scheduled $5 million principal paydown on its Fannie Mae loan facility to be made next month. 
 Finally, as of today, the company is in compliance with all financial covenants required under its mortgages. Back to you, Brandon. 
Brandon Ribar: Thanks, Kevin. 2024 is an exciting time for Sonida on many fronts. The energy and positive momentum is palpable across our entire company as we strive for further growth in our existing portfolio, driven by operational excellence and further advancement in resident program. coupled with the opportunity to aggressively grow our portfolio through strategic acquisitions at attractive values, Sonida is positioned to fulfill our commitments to residents, employees and shareholders to continue building a best-in-class operator, owner and investor in senior living. 
 This concludes today's conference. Thank you all for participating, and have a good day. 
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.